Operator: Please stand by. We're about to begin. Good day and welcome to the Titan Machinery Incorporated First Quarter Fiscal Year 2016 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. John Mills of ICR. Please go ahead, sir.
John F. Mills - Partner, ICR, Inc.: Thank you. Good morning, ladies and gentlemen and welcome to the Titan Machinery first quarter fiscal 2016 earnings conference call. On the call today from the company are David Meyer, Chairman and Chief Executive Officer; Peter Christianson, President; and Mark Kalvoda, Chief Financial Officer. By now everyone should have access to the earnings release for the fiscal first quarter ended April 30, 2015, which went out this morning at approximately 6:45 AM Eastern Time. If you've not received the release, it is available on the Investor Relations portion of Titan's website at titanmachinery.com. This call is being webcast and a replay will be available on the company's website as well. In addition, we are providing a presentation to accompany today's prepared remarks. We suggest access the presentation now by going to Titan's website and clicking on the Investor Relations tab. The presentation is located under the Events and Presentations tab under Investor Relations. Before we begin, we'd like to remind everyone that the prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. The statements do not guarantee future performance and, therefore, undue reliance should not be placed upon them. These statements are based on current expectations of management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of Titan's most recently filed Annual Report on Form 10-K. These risk factors contain more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. Titan assumes no obligation to update any forward-looking statements that may be made in today's release or call. Please note that during today's call, we'll discuss non-GAAP financial measures, including results on an adjusted basis. We believe these adjusted financial measures can facilitate a more complete analysis and greater transparency into Titan's ongoing results of operation particularly when comparing underlying results from period to period. We have included reconciliation of these non-GAAP measures for today's release and have provided as much detail as possible on any addendums that are added back. Lastly, due to the number of participants on the call today, we ask that you keep your question period to one question and then rejoin the queue. The call will last approximately 45 minutes. David Meyer will provide highlights of the company's first quarter results and a general update on the company's business. Then Peter Christianson will discuss the company's international overview and segment operating results. And next, Mark Kalvoda will discuss the company's financial results in more detail and the fiscal 2016 annual modeling assumptions. At the conclusion of the prepared remarks, we will open the call to take your questions. Now, I'd like to introduce the company's Chairman and CEO, Mr. David Meyer. Go ahead, David.
David Joseph Meyer - Chairman & Chief Executive Officer: Thank you, John. Good morning, everyone. Welcome to our first quarter fiscal 2016 earnings conference call. As John mentioned, to help you follow today's prepared remarks, we provided a slide presentation which you can access on the Investor Relations portion of our website at titanmachinery.com. If you turn to slide three, you'll see our first quarter financial results. Revenue was $353 million, primarily reflecting lower Agriculture equipment sales in North America. We've generated adjusted EBITDA of $5.1 million and adjusted pre-tax loss was $4.6 million and adjusted loss per diluted share was $0.13. These results were in line with our expectations and reflect ongoing headwinds in our Agriculture business. Based on our first quarter results, we are reiterating our fiscal 2016 annual modeling assumptions, which Mark will review during his remarks. On today's call, we will discuss the challenges we are facing in our Agriculture segment and provide an update on the construction industry. Next, we will review our realignment plan that we implemented in the first quarter. Peter will provide an update on our International segment, as well as an overall company segment performance. Mark will review financial results for the first quarter and discuss our inventory reduction for fiscal 2016, and we'll conclude with an overview of our modeling assumptions for fiscal 2016. Now I'd like to provide some more color for you today on the agriculture and construction industries in which we operate. And slide four is an overview of the agriculture industry. In most recent USDA crop progress report issued earlier this week showing planting and crop progress in on schedule on our footprint and some states are ahead of last year at this time. Moisture levels improved in the majority of our footprint with adequate moisture for early crop development. May's initial new-crop WASDE report projects continued high ending stocks, which are reflected in continued low commodity prices. USDA currently projects calendar year 2015 net farm income to be $73.6 billion, which represents a 31.8% decrease from projected net farm income in calendar 2014. The 2015 net farm income projection reflects an expected continued decline in crop cash receipts led by a decline in corn of $6.7 billion. There continues to be a relatively strength in the livestock sector. The lower net farm income continues to generate negative sentiment in the market and impacts farmer spending resulting in lower end-user demand and high industry supply that continues to affect used equipment prices and compressed margins. In summary, the agriculture industry continues to face a number of headwinds. To best navigate the current climate, our focus is on managing the controllable aspects of our business in order to improve our results and position ourselves to capitalize on future opportunities. We remain confident in the future agriculture industry outlook as farmers continue to carry strong balance sheets and underlying macro trends are projected to continue driving long-term demand for agricultural commodities. Now, I'd like to turn to the Construction segment of our business. On slide five, we provide an overview of the construction industry and our markets. Industry conditions are similar to what we discussed on our April 15 call with improvement in the metro markets, reflecting increased residential and commercial activity. The strength of the livestock market continues to support construction equipment sales activity in our agricultural-driven markets which we anticipate to be flat year-over-year. The decrease in oil and gas pricing is causing lower sales and rental activity in our energy markets. The lack of snow during the winter months in the Upper Midwest limited the amount of snow removal activity in those markets which impacted our parts, service, and rental sales. The partial recovery in oil prices should support second half stability in our energy markets. Calendar year 2014, the housing industry experienced an increase in housing permits in our footprint which is a positive indicator for medium and light equipment product offerings. We expect this trend to continue in calendar year 2015 but at a reduced growth rate. There's continued strength in used construction equipment pricing throughout the industry. The favorable pricing environment is resulting in higher equipment margins. In summary, over the past year, we made meaningful improvements to our Construction business and while industry conditions have remained challenging, we have reduced our pre-tax loss in the first quarter of fiscal year 2016 compared to the first quarter of fiscal 2015, reflecting the benefit of a number of initiatives we implemented last year and during the first quarter of this year. Slide six provides an overview of our realignment plan we have successfully implemented in the first quarter. We continue to expect this realignment would generate a pro forma benefit of approximately $20 million or $0.56 per share in fiscal year 2016. We anticipate costs associated with the realignment, to be approximately $2 million of which $1.7 million was recorded to the first quarter of fiscal 2016. We are confident that our realignment plan, combined with inventory reduction and strengthening our balance sheet, positions our business for improved future financial performance. Before I conclude my remarks, I would like to discuss the change in our senior management structure. A few weeks ago, we announced that effective next month, Peter Christianson will transition from his current role as President to Chairman of International Operations, so he can focus his efforts on this segment of our business. After the current fiscal year, he will serve as a consultant to our company for a three-year term, which will enable us to leverage his many years of experience in many areas throughout our company. We're very appreciative of Peter's significant contributions to Titan Machinery, and we look forward to his continued contributions to the company in the coming years. Now, I'd like to turn the call over to Peter Christianson to provide an update on our initiatives in our International segment and discuss our Agriculture, Construction and International operating segments. Peter?
Peter J. Christianson - President, Chief Operating Officer & Director: Thanks, David. On slide seven, we have an overview of the industry and our International segment, which includes stores in Bulgaria, Romania, Serbia and Ukraine. Spring planting is completed in our markets. Our overall crop progress is on schedule with adequate moisture. However Bulgaria is experiencing persistent wet conditions which delayed spring planting and is impacting early crop development. Lower global commodity prices continued to impact customers in all of our international markets, which is reflected in reduced farmer spending. This has also led to high industry equipment inventory levels, resulting in equipment margin pressure as we strive to achieve our revenue targets in this segment. Offsetting some of the challenges, the European Union Subvention Funds are becoming available in some of our markets with Romania having access to these funds beginning in the third quarter of fiscal 2015. The application process for funds in Bulgaria began in April and we anticipate funding to begin during the second half of this year. As you recall, the Subvention Funds are monies the European Union is budgeted to support investment in Agricultural production in the developing markets of Eastern Europe, providing 50% to 70% of the cost of qualifying new equipment purchases. Ukraine continues to experience a very challenging market environment. Limited credit availability, rising interest rates and the further devaluation of the local currency are affecting all businesses throughout the country. During the first quarter, the Ukrainian hryvnia experienced an additional devaluation of 49%. In spite of these challenges, we achieved our revenue target in Ukraine for the first quarter. However, we expect the recent devaluation and limited credit availability to have a negative effect on sales beginning in the second quarter as customers limit large investments such as equipment purchases. As I stated on our fourth quarter call, although the Ukrainian farmers had good yields in calendar year 2014, they were limited in their ability to purchase crop inputs this spring, which is resulting in lower crop production estimates this year. On slide eight, you'll see an overview of our segment results for the first quarter. Agricultural sales were $240 million, a decrease of 30.4%, primarily reflecting the headwinds David discussed earlier. We generated Ag adjusted pre-tax loss of $400,000 compared to adjusted pre-tax income of $4.2 million in the prior-year period. The primary factor impacting our Ag segment results were lower equipment sales and lower equipment margins due to oversupply of equipment in the ag industry. Ag segment pre-tax loss includes lower operating expenses due to cost savings associated with the realignment plan. Turning to our Construction segment, our revenue was $81 million, which is 11.5% lower than in the prior-year period. This reflects lower same-store sales, lower store count, as well as strong year-over-year comp store sales. Construction segment sales were impacted by the factors that David discussed earlier, including lower oil prices, which impacted certain locations. Adjusted pre-tax loss for our Construction segment was $2.9 million, an improvement from our adjusted pre-tax loss of $3.7 million in the same period last year. The improved results primarily reflect cost savings from our realignment implemented last fiscal year and during the first quarter of this year. We believe that the improvements in our Construction segment operating results in the past few quarters indicate that we're on the right track for our Construction business to be a key component of our long-term growth and profitability. In the first quarter of fiscal 2016, our International revenue was $32 million, which is a 9.7% increase compared to the prior-year period. Our adjusted pre-tax loss was $2.3 million compared to an adjusted pre-tax loss of $2.1 million in the prior-year period, reflecting compressed equipment gross profit margins arising from a challenging industry and economic conditions present in some of our markets, partially offset by lower operating expenses as part of our cost savings initiatives implemented last year and lower floorplan interest expense due to lower levels of inventory. Adjusted pre-tax losses exclude remeasurement charges of $2 million and $3.1 million in the first quarters of fiscal 2016 and fiscal 2015, respectively, from the balance sheet impact of the Ukrainian hryvnia devaluation. Now turning to slide nine, this shows our same-store results for the first quarter of fiscal 2016. Our overall same-store sales decreased 21.9% primarily reflecting the 28.7% decrease in Ag same-store sales driven primarily from lower equipment sales. Construction same-store sales decreased 5.9% and International increased 9.7%. For the first quarter of fiscal 2016, overall same-store gross profit decreased 18.2% compared to the prior year. The Ag segment same-store gross profit decreased by 22.3%, reflecting lower equipment sales and margins, partially offset by a favorable change in mix to higher margin parts and service. The 4.2% decrease in the Construction segment same-store gross profit reflects the lower same-store sales partially offset by improved equipment margins. Regarding International, same-store gross profit decreased 27.8%, reflecting lower equipment margins primarily driven by the lower global commodity prices, high industry equipment levels, as well as other challenges I discussed earlier. For modeling purposes, it's important to remember that we calculate same-store sales by including stores that were with Titan for the entire period of both fiscal years which we are comparing. In other words, only stores that were part of Titan for the entire three months of the first quarter of fiscal 2015 and the first quarter of fiscal 2016 are included in the quarter same-store comparison. The stores which were closed in the first quarter of fiscal 2016 are also excluded from this year's same-store sales calculation for both periods reported. In the first quarter of fiscal 2016, a total of five locations were not included in our first quarter same-store results consisting of four Ag locations and one Construction store. Now, I will turn the call over to Mark Kalvoda, our CFO, to review results in more detail, provide an update on our inventory reduction and balance sheet initiatives and to discuss our fiscal 2016 modeling assumptions.
Mark P. Kalvoda - Chief Financial Officer: Thanks, Peter. Turning to slide 10, our total revenue for the fiscal 2016 first quarter was $353 million, a decrease of 24.1% compared to last year, which primarily reflects lower same-store sales in Ag and Construction segments. Equipment sales decreased 29% quarter-over-quarter primarily reflecting the Ag headwinds David discussed in his remarks. Our parts revenue decreased 10% in the quarter, and service revenue decreased 11.3% driven by decreases in both our Ag and Construction segments. The lower parts and service revenue in our Ag segment was the result of a decreased amount of customer preventative maintenance, as well as reduced service business associated with the pre-delivery of sold new equipment. The quarter-over-quarter decline in our parts and service Construction revenue was attributed to the dry winter that David spoke to earlier, as well as tougher comps in this period last year as Construction parts revenue was up 16.5%, and service revenue was up 9.3% in the same period last year. Our rental and other revenue decreased 7.8% in the first quarter primarily due to the lower utilization and a reduced rental fleet. Our rental fleet dollar utilization was 19.1% for the current quarter compared to 22.9% in the same period last year. Decreased utilization was partially due to the lower oil prices affecting rental demand in our oil-producing markets. On slide 11, our gross profit for the quarter was $60 million, and our gross profit margin was 17.1%, an increase of 80 basis points compared to the same quarter last year. Improvement in gross margin was due to a change in gross profit mix to our higher margin parts and service business compared to the prior-year period, partially offset by a decrease in equipment margins of 100 basis points. Our operating expenses, as a percentage of revenue in the first quarter of fiscal 2016, was 16.2% compared to 15.3% for the same quarter last year. The increase in operating expenses, as a percentage of revenue, was due to the deleveraging of our fixed expenses as total revenue decreased from the prior year. Although our operating expenses as a percentage of revenue increased, we decreased our operating expenses by $14 million or 19.7%, primarily reflecting the impact of our first quarter fiscal 2016 and fiscal 2015 realignments and the initiatives implemented in our International segment last year. We have reduced overall operating expenses to better align our cost structure with the current market conditions. For modeling purposes, it is important to note that we recognized non-GAAP adjustments of $4.2 million in the first quarter of fiscal year 2016, which primarily consists of realignment and store closing cost of $1.6 million and Ukraine remeasurement expense of $2 million. The current quarter remeasurement expense was due to the significant currency devaluation in Ukraine that Peter spoke to earlier. In the prior-year period, we recorded non-GAAP adjustments totaling $6.3 million which included realignment and store closing cost of $3.2 million and Ukraine remeasurement expense of $3.1 million. Floorplan and other interest expense increased 70 basis points as a percent of revenue but remained relatively flat in absolute dollars. The increase, as a percent of revenue, was primarily due to the deleveraging interest expense over lower revenue. We anticipate a reduction in our floorplan interest expense in fiscal 2016 compared to the prior year. For the first quarter of fiscal 2016, we generated adjusted EBITDA of $5.1 million which compares to $7.6 million in the first quarter of last year. We calculate adjusted EBITDA by including our floorplan interest expense and excluding non-recurring items such as remeasurement, impairment and realignment cost as we believe this better reflects the ongoing operations of our business. Our adjusted loss per diluted share was $0.13 for the first quarter of fiscal 2016. This compares to adjusted loss per diluted share of $0.07 in the first quarter of last year. At the end of our slide presentation, we have included a reconciliation table to help illustrate the adjustments to our GAAP results. Turning to slide 12, here we provide an overview of our balance sheet highlights at the end of the first quarter. In light of the headwinds we are currently facing in the ag industry, improving our balance sheet was and remains one of our key areas of focus. We had cash of $104 million as of April 30, 2015. As I discussed on our last earnings call, we are using a portion of our cash to reduce interest-bearing floorplan payables. Our equipment inventory as of April 30, 2015 was $775 million, a decrease of over 20% compared to our equipment inventory of $971 million as of April 30, 2014. The inventory change includes a decrease in new equipment of $166 million and a decrease in used equipment of $30 million from the end of the first quarter of fiscal 2015. In a few minutes, I will provide an update on our anticipated inventory reduction in fiscal 2016. Our rental fleet assets at the end of the first quarter were $138 million compared to $148 million at the end of fiscal 2015. A portion of this reduction was related to the de-fleeting in stores impacted by energy-related activity. As of April 30, 2015, we had $607 million of outstanding floorplan payables on $1.1 billion of floorplan lines of credit. Total liabilities to tangible net worth improved to 2.6 as of April 30, 2015 from 3.2 as of April 30, 2014. The year-over-year reduction in inventory and associated lower levels of floorplan payables at the end of our fiscal first quarter of 2016 improved our total liabilities to tangible net worth ratio. Slide 13 gives an overview of our cash flow statement for the first three months of fiscal 2016. The GAAP reported cash flow from operating activities for the period was $14.3 million. We believe including all equipment inventory financing, including non-manufacturer floorplan activity as a part of our operating cash flow better reflects the net cash flow of our operations. In addition, as I discussed in the last call, we are using a portion of our operating cash flow and cash in our balance sheet to reduce our floorplan payables. To accurately reflect cash from operating activities, we're adjusting our cash flow to reflect the constant equity in our equipment inventory. By providing this adjustment, we're able to show cash from operating activities exclusive of changes in equipment financing decision. The equity in our equipment inventory increased 3.1 percentage points during the quarter and represents a $23.7 million use of cash. In line with our cash strategy, we will continue to increase our equity in equipment inventory as we generate operating cash flow. Making these adjustments, our adjusted cash flow from operating activities was $8 million for the period ended April 30, 2015. Turning to slide 14, I would like to provide an update on our company equipment inventory. Similar to what we have provided in the past, you will see a chart outlining our equipment inventory position for the last four years as well as our first fiscal quarter and ending inventory target for fiscal 2016. We continue to anticipate a $150 million reduction of equipment inventory in fiscal 2016. As we mentioned on our last call, inventory at the end of the first quarter of fiscal 2016 was similar to inventory levels at the end of fiscal 2015. We expect the quarterly inventory stocking trend to be similar to that of fiscal 2015 with most of the reduction occurring in the fourth quarter. Turning to slide 15, you will see a chart showing our total liabilities to tangible net worth ratio over the past four years. This chart shows a notable improvement in this ratio from a high of 3.3 in the second quarter of fiscal 2015 to 2.6 at the end of the first quarter of fiscal year 2016. Based on a consistent level of tangible net worth, we continue to expect to further reduce the ratio to approximately 1.9 at the end of fiscal 2016. We expect the timing of this decrease closely tracked with the expected equipment inventory reduction, which was noted as occurring primarily in the fourth quarter. Given the current market conditions, particularly in the ag sector, we believe it is prudent to delever our balance sheet in order to best position the company to capitalize on long-term opportunities. Slide 16 shows our fiscal 2016 annual modeling assumptions. We are reiterating the modeling assumptions that we provided on our last earnings call which are as follows: We continue to expect our Ag same-store sales to decrease 20% to 25%. This primarily reflects lower anticipated results from our equipment revenue as well as a slight decrease in our parts and service revenue. We expect both our Construction and International same-store sales to be flat. Although first quarter Ag and Construction comps were below our annual expectations, it is important to remember that Ag and Construction face stronger year-over-year comps for the first half of fiscal 2016. To improve the consistency between segment reporting and same-store sales, beginning in the first quarter, we are including eliminations in each applicable segment instead of having a separate line item titled, eliminations. You will notice a slight change in last year's individual segment revenue and pre-tax income as a result of this. This change does not affect overall revenue or any other line item except individual segment revenue and pre-tax income. To help you with your modeling for prior quarters, we have included a table in the back of today's presentation. Our modeling assumption for equipment margins for the full year is projected to be in the range of 7.7% to 8.3%. We expect to be profitable on an adjusted diluted earnings per share basis for fiscal 2016. This concludes the prepared comments for our call. Operator, we are now ready for the question-and-answer session of our call.
Operator: Thank you. We'll go first to Neil Frohnapple with Longbow Research.
Neil A. Frohnapple - Longbow Research LLC: Hi. Good morning, guys. Could you guys provide any more granularity on the equipment margins in the quarter? The guidance implied a sizable step-up for the remainder of the year, so is first quarter the low watermark? And just what gives you guys confidence that margins will accelerate to around 8% on average for the remainder of the year to hit the low end of the guidance?
Mark P. Kalvoda - Chief Financial Officer: Yes. This is Mark, Neil. The equipment margin, so as you know, the lower of cost or market, we take on an ongoing basis. When you have a quarter where there's lower revenue, any kind of write-down in that lower of cost or market creates a larger impact on the margins coming out of that equipment business. But, yes, we did reiterate kind of the midpoint there of around 8% for the year. So, we do anticipate those margins to expand throughout the year.
Neil A. Frohnapple - Longbow Research LLC: Got it. Thanks. And then just could you provide some more color on – you mentioned partial recovery in oil prices support second-half stability in energy markets – are you guys seeing signs of stabilization already there?
Mark P. Kalvoda - Chief Financial Officer: Yeah. I think what we've seen is there was, I think, a little bit of kind of shock and awe out there to begin with, with the rapid decline in the oil prices out in the market out there. And as things have settled down and they kind of reached what kind of appears to be a bottom on oil prices down below $50 and it's rebounded above that now, I think some of that has passed and there's more activity going on. A lot of infrastructure projects are taking place and we're starting to see some renewed activity going on in that market.
Neil A. Frohnapple - Longbow Research LLC: Great. I'll pass it on. Thanks, guys.
Operator: And we'll go next to Rick Nelson with Stephens.
N. Richard Nelson - Stephens, Inc.: Thanks. I'd like to follow-up on the margin pressure as well. If you could break that down perhaps between new and used equipment – where the pressures are – and any comments about inventory in the channel. I realize you've made good progress in terms of reducing inventory but any overall comments about the industry inventory?
Mark P. Kalvoda - Chief Financial Officer: Yeah. First of all to the margin question again, it's still more pressure on the used. New, we're not anticipating nor have expected any kind of notable compression there. The used is still where we're having some of the lower of cost or market adjustments which is keeping the margins down in that area and the used equipment market out there is – it's a tougher one. As far as overall inventory conditions, yes, we continue to kind of work down the inventory. Seasonally, it's a quarter – first and second quarter, we tend to stock more – we get more of the deliveries in. But I would say we continue to make some progress on the new and used out there. So, still more to go as we're expecting to get down $150 million for the year, but we continue to make progress in that regard.
N. Richard Nelson - Stephens, Inc.: Great. Thanks a lot for those comments, and good luck.
Operator: We'll take our next question from Mig Dobre with Robert Baird.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Good morning, guys. I'm going to stick with margin as well. If I look at margin progression in equipment, we've seen a sequential decline, really, for now four quarters. And I guess, I'm wondering here, if we're going to see a sequential uptick going forward, back to, call it, 8% from 7.3%, doesn't that necessarily imply that you're baking into your outlook some sort of stabilization if not even potentially some kind of a rebound in used equipment pricing?
Mark P. Kalvoda - Chief Financial Officer: No. I would say it's not necessarily figuring out some pricing increase there or any kind of – I wouldn't describe it more as less pressure where it would be lower levels of write-downs that we would incur in the used equipment area. And the other thing again I mentioned it earlier but with having a lower level of sales compared to like a fourth quarter for instance. Fourth quarter, if you have the same – if you had the same amount of some of these lower cost or market adjustments, your overall margin wouldn't be as affected near as much because you're taking it over a much larger numerator in that instance. So, no, I don't think it's implying that there's any kind of pricing increase or anything like that in the overall market, but it's – I would say it's more of less pressure.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): And why would you expect less pressure?
Mark P. Kalvoda - Chief Financial Officer: Just I think further along in the cycle and combination of that and just overall lower levels of used equipment inventory levels.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Thanks. And last question from me is on SG&A. You guys have done a – really a tremendous job there. And I'm wondering how to think about this number going forward. Is this, call it, below $60 million level sustainable as you look at the rest of the year?
Mark P. Kalvoda - Chief Financial Officer: No. I wouldn't indicate that because, again, some of these – some of what we have in the first quarter with commission expense, so again, you get out to like a fourth quarter where you have higher levels of equipment sales, you're going to have higher variable cost such as commissions. Where you did see the bigger year-over-year improvement would be Q1, because you really had both of those realignments helping in Q1.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): I see. Thank you.
Operator: We'll go next to Brett Wong with Piper Jaffray.
Brett W. S. Wong - Piper Jaffray & Co (Broker): Hey, guys. Thanks for taking my questions. I'm kind of looking at your comment there with the cycle. Just wondering what your expectations for the crop are this year, specifically on yield when you compare it to kind of what the USDA has provided given the current planting progress and expected growing conditions. I mean, you talked about adequate moisture levels in your footprint, so just wondering what you can say there.
David Joseph Meyer - Chairman & Chief Executive Officer: First of all, this is probably pretty ideal planting conditions across some of your more productive growing areas in the Upper Midwest. Crops went in early, corn went in early, ideal planting conditions, great weather conditions, so we've got a great jump on things. Then where we weren't – in some or moderate drought situation three weeks, four weeks ago, there's been really nice ample rains in the Dakotas, or Minnesota, Iowa, Nebraska. So my anticipation is as you look around a pretty good piece of United States right now, there's some really ideal growing conditions, good plant, a lot of things are ahead of the game. So, I'm optimistic that there's going to be some excellent yield especially in our footprint. I mean, everything is setting up, you know, we don't – we're still away from harvest, but everything is set up as well – about as well as you can imagine right now for good yields.
Brett W. S. Wong - Piper Jaffray & Co (Broker): So then if you have expectations for good yields, I mean, do you think those could be above trend line? And then where do you think that puts ending stocks and how does that impact the cycle and farmer sentiment in terms of equipment purchases?
David Joseph Meyer - Chairman & Chief Executive Officer: Well, first of all, it's nice to have the bushels, and once you have the bushels, I think, our growers have some pretty good staying power and they don't have a gun to their head to sell out their combines. So I think they have the bushels, that has been good, but then it does for overall commodity prices, more supply, it's going to put pressure on commodity prices. So that's the offset to that. So – but I think you need the bushels regardless of the price, so that's a positive. But then again, I think, there is – we'll have to wait and see really what that's going to – effect that's going to have on commodity prices as we get into the – our third and fourth quarters.
Brett W. S. Wong - Piper Jaffray & Co (Broker): Great. Thanks a lot for the color.
Operator: We'll take our next question from Joe Mondillo with Sidoti & Company.
Joe L. Mondillo - Sidoti & Co. LLC: Good morning, guys. Regarding – so I have two questions. First, in terms of the Construction segment, it seems like in terms of the organic growth assumptions that you are assuming a fairly – a good rebound in the second half of the year, just is that largely related to smaller pressures on the energy side? Could you just comment on what you're seeing within that segment that's been sort of a challenge over the last couple years?
Mark P. Kalvoda - Chief Financial Officer: I think the biggest thing that it just kind of says is for the year, we indicated flat – overall flat on Construction as far as sales growth, and so being down 6% in the first quarter, yes, implies some improvement going forward. But you really have to kind of look at last year's comps to that where we're up nearly 25% and 27% in Q1, Q2. So, we're up against some very tough comps that get much more relaxed in the back half of the year. So, I don't think it's more of kind of – I think, it's more of kind of what we're comping against rather than what we're seeing in the current year.
Joe L. Mondillo - Sidoti & Co. LLC: I mean it seems like the revenue base would be above $100 million for the rest of the year in terms of what the guidance implies. Am I looking at that right and if so last year you were sort of consistent on a quarter-to-quarter basis, maybe give or take $5 million or $10 million, but the uptick from the $80 million that you did in the first quarter seems a bit large. So, I'm just wondering where you're going to see the big improvement starting in the second or later in the year.
Mark P. Kalvoda - Chief Financial Officer: Well, so the first quarter is generally our lowest quarter, seasonally low quarter, especially up in the upper part of our footprint here with winter going on and the ground frozen and everything like that there's not near the activity that we have later in the year. And similar to the Ag side, there is a year-end buying element too that happens on the equipment side. So, I think some – if I understood your question right, some of it is seasonality here too that happens in that first quarter versus the others.
Joe L. Mondillo - Sidoti & Co. LLC: Okay. And then secondly, in terms of the International segment, business continues to lose a lot of money. The currency pressures alone seem like it make the economics of this business pretty tough to take, if for a few – it's going to continue for a few more quarters. Just wondering if you can update us on your thoughts on that sort of venture.
Peter J. Christianson - President, Chief Operating Officer & Director: Well, we're committed to the business. And we continue to work through the challenges that face us in certain markets that we're operating in. I made comments on the call about Ukraine and then in Bulgaria we had wet conditions last year. So, we're working through that and selling down our inventory to reduce exposure on inventory.
Joe L. Mondillo - Sidoti & Co. LLC: So, I guess what my question really is, is at what point does that commitment sort of do you start to rethink that given the money that you're losing for a long period of time now?
Peter J. Christianson - President, Chief Operating Officer & Director: Well, as I said, we're committed to the business and understand that under any scenario, the business needs to be operating profitably, and we need to get the business in the right condition.
Joe L. Mondillo - Sidoti & Co. LLC: Okay. So, just finally, do you anticipate at the end of this year that you can sort of get that business to a right enough point where you're at least breakeven?
David Joseph Meyer - Chairman & Chief Executive Officer: I think for the full year, I think that's going to be tough as we get through...
Joe L. Mondillo - Sidoti & Co. LLC: No, I mean, like a run rate at the end of the year?
David Joseph Meyer - Chairman & Chief Executive Officer: Yeah. I think that's possible. I think we're getting – as Peter indicated, we're getting our assets to a level given the type of revenues we're seeing under the business over there. As you know, the floor planning over there, the financing is more expensive, particularly in Ukraine. So as we get those assets down and get the exposure down in the country of Ukraine, I think that does set us up for a run rate to profitability as we get toward the end of the year.
Joe L. Mondillo - Sidoti & Co. LLC: Okay. Great. Thanks for taking my questions.
Operator: We'll take our next question from Larry De Maria with William Blair.
Larry T. De Maria - William Blair & Co. LLC: Hi. Good morning. A couple of questions. First, as you've said, we're off to a good planning season and ideal growing conditions. I just want to understand specifically how much risk do you guys see in the second half if we have a good harvest and, obviously, you wouldn't play lower prices? In other words, how important is the summer weather to your outlook this year? And is there a risk for another write down in the second half in your guys' view?
David Joseph Meyer - Chairman & Chief Executive Officer: Well, weather is always an issue. And I think to really get your maximum yields especially in the corn and soybean areas, it takes some timely July-August rains. So that's still out there. But I feel just a lot more positive right now about the moisture conditions in some of our areas. We have a lot of stores in the Dakotas, Minnesota, Nebraska, Iowa. I mean, there's good subsoil moisture and it's set up, so the amount of risk for crop failure and all in a lot of this area is much less than it was say, three, four weeks ago. Because there's been some really nice, timely rains, but there again, the top and the maximum yields are really going to be dependent on some good July-August rains in these markets.
Larry T. De Maria - William Blair & Co. LLC: Right. So assuming that happens, I'm just curious like how worried are you guys that the second half could come in below expectations based on what looks to be a good crop so far?
David Joseph Meyer - Chairman & Chief Executive Officer: Well, I think that's going to be positive for us, a good crop development. At the same time, I think a lot of our growers out there understand we've got some soft commodity prices out there and I think a lot of their buying intentions and settlements that's been ongoing here for the last six, seven, eight, nine months and will continue that way, so that's out there. So the one variable is the yields and I think the yields are going to be positive, yet I think everybody right now is under the realization that there's pressure on commodity prices and it's going to continue for some time in the future.
Larry T. De Maria - William Blair & Co. LLC: Okay. And then, moving to industry inventory, how much difference do you think there is between you and your competitors? And how long do you think this excess channel inventory for both new and used will remain in the industry? Is this probably going to spill into next year, I'd assume, but just kind of delineate how much better or worse you guys are versus your competition?
David Joseph Meyer - Chairman & Chief Executive Officer: Well, as I drive around our competitors' lots and compare that to ours, I think everybody is in probably a fairly close, same level of inventory. It's good to hear that the manufacturers are talking about under-producing the retail as we go ahead. So, I think the trends are going to be is going to be less new equipment shipments and I think both us and our competitors will move to the used business in some period of time. And as long as the new keeps coming out at less levels than retail until inventory levels, both new and used are in line, we're going to be in good shape at that point.
Larry T. De Maria - William Blair & Co. LLC: And when do you think that the inventories will be in line with end market demand at this point?
David Joseph Meyer - Chairman & Chief Executive Officer: I don't have a crystal ball out there, but I think we're doing everything we can and that we can control and accelerate that as fast as possible from our standpoint to minimize our interest expense and any future exposure. So, we're doing everything we can to make sure that we're ahead of the curve.
Larry T. De Maria - William Blair & Co. LLC: Okay, fair enough. Then last question, just you talked about the renewed activity in oil and gas. Are you specifically getting orders now in those basins or is the quoting picking up or you're just seeing what might lead to orders? I'm just curious about how tangible the pickup is right now.
Mark P. Kalvoda - Chief Financial Officer: The way we kind of talked about it was more stabilization, call it stabilized environment. So, I wouldn't want to leave the impression that it's really outstanding, a great amount or anything like that. But we are getting new deals done out there. We are seeing some more activity in the rental business that we have up in that area. So, yeah, there is what we would call stabilization going on out there.
Larry T. De Maria - William Blair & Co. LLC: Okay. Thanks guys.
Operator: We'll go next to Mig Dobre with Robert Baird.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Yeah. Thanks for taking my follow-up. Just a couple of items. And sticking with rental here, can you maybe, Mark, give us some color here on the slight decline in the rental fleet? And I'm also wondering, within your overall outlook, what sort of utilization levels are you baking in, and how does that compare to what you're able to do from a utilization standpoint last year?
Mark P. Kalvoda - Chief Financial Officer: Yeah. I think for the quarter, some of the things that we saw there affecting our utilization compared to the prior year, certainly some of that energy related stuff, so it's moving out. We've got some of it moving out of that energy area. And so, just the fact that the stuff that's in the energy area is getting a lower level of utilization, but also moving it out and dispersing it into some of the other areas. It takes a little bit of a ramp-up to happen when we do that. So, that's some of the things affecting the quarter along with the weather factors that we discussed earlier and the snow removal opportunities that didn't present itself this year with the dry weather. Regarding the de-fleeting, some of that was also in this energy area. Rather than disbursing it, we did de-fleet some of that. And I would say somewhat of a planned de-fleet, maybe a little bit more than what we initially expected. But much of that de-fleet was associated with some of that energy area stuff. In regards to the full year, we don't provide that modeling assumption anymore. But I think, based on last year, I think starting out slower. But we do expect that to pick up somewhat probably to a level similar to last year ending result.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): All right. That's helpful. And I guess my final question here is this, with Peter's role changing, especially as we look beyond fiscal 2016, I guess, how should we be thinking about the person that will assume actual executive management of the international business, not on a consulting basis, but call it a full-time basis within the company, especially since from what I understand, you've also made some adjustments to the shared resources that you put out there?
David Joseph Meyer - Chairman & Chief Executive Officer: Well, first of all, we have some strong leaders in place in Eastern Europe right now. And we really think that that business over there is just managed by people that have the European background, the European culture and understand the business over there. So, like we say, we've got strong leaders in place, and we'll continue to develop that organization with the group of leaders we have a lot of confidence in right now.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Okay. Thank you.
Operator: It appears there are no further questions at this time. I would now like to turn the call back to Mr. Dave Meyer.
David Joseph Meyer - Chairman & Chief Executive Officer: Okay. Thank you, everyone, for being on the call and your interest in Titan, and we look forward to updating you on our progress on our next call. Have a good day.
Operator: And that concludes today's conference call. Thank you for your participation.